Operator: Good day, and welcome to the Enovis Fourth Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Kyle Rose, Vice President of Investor Relations. Please go ahead.
Kyle Rose: Good morning, everyone. Thank you for joining us today for our fourth quarter 2025 results conference call. I'm Kyle Rose, Vice President of Investor Relations. Joining me on the call today are Dami McDonald, Chief Executive Officer, and Ben Berry, Chief Financial Officer. Our earnings release was issued earlier this morning and is available in the Investors section of our website, enovis.com. We also posted a slide presentation in relation to today's call, which can also be found on our website. Both the audio and slide presentation of this call will be archived on the website later today. During the call, we'll be making some forward-looking statements about our beliefs and estimates regarding future events and results. These forward-looking statements are subject to risks and uncertainties, including those set forth in the safe harbor language in today's earnings release and in our filings with the SEC. Actual results might differ materially from any forward-looking statements that we make today. The forward-looking statements speak only as of today, and we do not assume any obligation or intend to update them, except as required by law. For further details regarding any non-GAAP financial measures referenced during the call today, the accompanying reconciliation information relating to those measures can be found in our earnings press release and in the appendix of today's slide presentation. With that, let me turn it over to Damien. Damien?
Damien McDonald: Hey, thanks, Kyle. Good morning, everyone, and thank you for joining us today for our fourth quarter and full year 2025 earnings call. Our results reflect strong performance across our global organization. It was a year of meaningful change and progress for the Enovis family, and I'm encouraged by our increasingly focused execution and the opportunities in front of us. We've transformed and reshaped our portfolio in a short amount of time, and 2025 was a pivotal year in moving from integration to execution. Since I joined in May, we've leaned into 3 key priorities: commercial execution, operational excellence and financial discipline. They have guided our strategy and remain the foundation of how we are building a more profitable, capital-efficient growth engine. As part of this work, we are embracing a One Enovis operating mindset, working collaboratively across the company to improve performance, standardize commercial processes and embed our EGX business system more deeply into our daily work. This shift is foundational to both our growth trajectory and margin expansion. Our highlights for the year include organic revenue growth of 6%, with 8% organic growth in Recon, reflecting above-market performance across anatomies. Prevention and Recovery accelerated to 4% organic growth in a market we believe is growing closer to 2%. We also had a solid year operationally. We maintained adjusted EBITDA margins at 18% despite the dynamic global operating environment and the impact of tariffs. As planned, we returned to positive free cash flow of $20 million in 2025, which places us firmly on our path towards our long-term free cash flow conversion targets. Fourth quarter revenue grew 3% on a reported basis and 2% organically. Recon grew 3% and Prevention and Recovery was flat. It's also important to note our fourth quarter had 4 fewer selling days than the prior year, which represented a headwind of 400 basis points to organic growth. In U.S. Recon, we grew 6% on an organic basis in 2025, led by double-digit growth in extremities. Our augmented reverse glenoid system, ARG, continued to gain traction and was key to driving double-digit growth in shoulders. What's exciting here is we have a robust pipeline to support a multiyear cadence of innovation and extremities, and we expect sustained growth in this area. In Hips and Knees, we grew 6% in implants, adjusting for the prior year sales of enabling technology, and we continue to reinforce our portfolio to compete across hospital and ASC settings. In 2025, we launched the Nebula Stent and the OrthoDrive Impactor, and they are performing well early in the adoption cycle. Over 60% of Nebula sales in 2025 were to competitive users, and we expect to more than double the installed base of OrthoDrive in 2026. Internationally, we grew 10% in Recon on an organic basis, including high single-digit growth in hips and knees and double-digit growth in extremities. We're executing across the cross-selling synergies we targeted in each anatomy and are positioned for sustained above-market growth rates in 2026 and beyond. Innovation remains key to our strategy. In 2025, we had 50% more 510(k) clearances than our best prior year. Looking ahead, we have a robust pipeline of new product introductions planned for the next 24 months. We'll showcase many of these innovations, including Arvis at the AAOS conference next week in New Orleans. We plan to deploy Arvis through a flexible business model, purchase, lease per procedure or implant commitment with the primary goal of driving implant utilization. Now moving to P&R, which on an organic basis grew 4% year-over-year in 2025. Global Bracing grew 3%, driven by revenue cycle management, upper extremity and spine bracing. BoneStim was another source of strength for the year, delivering double-digit growth. With the sale of Dr. Comfort in the fourth quarter, 50% of our revenues in P&R are growing higher than mid-single digits. So there's a lot to be excited about across the portfolio, and I'll now turn it over to Ben to walk through the financial details.
Phillip Berry: Thanks, Damien. Hello, everyone. We reported fourth quarter sales of $576 million, up 3% versus the prior year on a reported basis and 2% organic growth. As Damien highlighted and as we outlined at the beginning of the year, growth in the fourth quarter was artificially low given the trade-off of 4 selling days between Q1 and Q4. With this dynamic in mind, I'll focus the majority of my comments on the full year results. For the year, we generated $2.2 billion of sales, which represents 7% reported growth, including a 140 basis point tailwind from foreign currency and an 80 basis point headwind from divestments. Organic growth for the year was 6%, led by above-market growth in Recon at 8% and solid mid-single-digit growth from P&R at 4%. Adjusted gross margins increased to 61%, an improvement of 170 basis points, driven by favorable mix, ongoing productivity and realized synergies in our manufacturing and supply chain operations. This was slightly diluted by tariff impacts as we absorbed, mitigated and offset a portion of the roughly $15 million of tariffs we paid in the year. Adjusted EBITDA margin was 17.9%, flat year-over-year as we increased R&D investments, particularly in Recon enabling tech and were unable to fully mitigate the impacts from tariffs. Tax rate for the year was 23.5%. Interest expense was $35 million, down from $57 million last year. As a result, adjusted earnings per share was $3.30, up 16%, driven by gross margin expansion and reduced interest expenses. In the quarter, we recorded a noncash technical impairment of goodwill of $501 million after evaluating the company's stock price and market capitalization relative to the carrying value of our operating units. As stated last quarter, these impairments do not have any impact on Enovis' liquidity, cash flows, debt covenants nor does it have any impact on future operations. We remain confident and optimistic in the long-range plans and positive trajectory of the company. In 2025, we delivered higher sales and earnings than our original guidance. While it was a dynamic operating environment with tariffs, currency fluctuations, abnormal quarterly selling days, we believe the company demonstrated resilience as we continue to make progress towards our long-term goals. From a growth perspective, we were very pleased to see accelerated growth in our P&R segment. Positive portfolio mix and shaping moves that we've executed over the last several years are reading through to top line results. In Recon, we delivered double-digit growth in U.S. Extremities and International Recon. We've been deliberately diversifying and constructing this segment to be a robust growth driver for Enovis with a weighted average market growth rate above the industry norm. In U.S. hip and knee, we've been rejuvenating the portfolio to fill product gaps in hip and enabling technology. Implant growth for the year was 6%, slightly above market, and we're encouraged by the early results from the launch of Nebula and OrthoDrive. As detailed on prior calls, we were delayed in the rollout of Arvisin 2025 and are eager to begin ramping the enhanced product over the course of 2026. Our adjusted EBITDA remained at 17.9% for the year with strong underlying operating performance from positive product and segment mix executed productivity projects and Lima synergy capture. These improvements were offset by increased investments in R&D to support future growth as well as negative impacts from tariffs in the year. We continue to see a clear pathway to 20% plus EBITDA margins driven by positive business mix, productivity and leverage as the business continues to scale. We generated 10% free cash flow conversion in 2025 after a negative 43% in the prior year, as integration efforts are continuing to step down. Leverage has dropped to 3.1x. And in Q4, we were able to successfully refinance our TLA, upsize our revolver and maintain low interest rates on our debt. We will continue to focus on disciplined capital allocation as we climb the cash flow conversion curve and bring leverage levels below 3. Turning to guidance. We expect 2026 to be another year of strong execution and expect revenues in the range of $2.31 billion to $2.37 billion. This includes mid-single-digit organic revenue growth of 4% to 6% year-over-year, inclusive of high single-digit growth in Recon and low single-digit growth in P&R. We expect positive currency tailwinds of 0.5% to 1.5%. And as a reminder, we will have a $41 million headwind in revenues from the divestiture of Dr. Comfort in October of 2025. On margins, we are expecting adjusted EBITDA in the range of $425 million to $435 million, 50 basis points of margin improvement versus prior year. Depreciation is expected to be in the range of $118 million to $122 million. We expect interest and other expenses to be in the range of $30 million to $32 million and an adjusted tax rate of approximately 23% in 2026. Along with these estimates, we expect a share count of approximately 59 million and are forecasting our adjusted earnings per share range to $3.52 to $3.73. Additionally, we expect free cash flow conversion as a percentage of adjusted net income to be 25% plus in 2026, while supporting the final year of substantial investments to integrate Lima and fuel growth. To summarize, 2025 was a dynamic year for Enovis, and our results highlight the power of our diversified portfolio and the continued progress we're making towards sustainable, profitable, capital-efficient growth. Kyle?
Kyle Rose: Thanks, Ben. In an effort to accommodate everyone in the Q&A session and keep things to a reasonable time. We ask that analysts keep the questions to one question and one follow-up. You're welcome to rejoin the queue and we will fit you in if we've got time. With that, we'd like to now open the call up to questions. Operator?
Operator: [Operator Instructions] The first question comes from Vik Chopra from Wells Fargo.
Vikramjeet Chopra: First one, great to see the progress on the free cash flow conversion in 2025. You're now targeting 25% plus for 2026. Can you maybe talk about the specific operational improvements or working capital initiatives that are expected to drive the significant step-up? And then I had a quick follow-up, please.
Damien McDonald: Vik, thanks for the question. As you can imagine, we have leveraging our business system, we always have productivity projects in place trying to drive efficiencies and improvements across the board. One of the main drivers of improvement this year, as I mentioned, is we'll continue to step down integration-related costs. Last year, 2025 was the last material year of investments for European medical device regulation remediation. So those costs are stepping down as well. We'll continue to drive efficiencies where we can in working capital. There's some headwind there as the business shifts more towards Recon as it carries higher working capital and CapEx investments, but we can offset that with productivity across the board and across the other business segments. So we still see a clear pathway to the 70% to 80% free cash flow conversion targets that we've laid out, and we believe 2026 is a critical step in the right direction towards those goals.
Vikramjeet Chopra: A quick follow-up on Arvis. Can you talk about what's your view on how quickly Arvis can grow in 2026? And are you on track for the next-gen Arvis launch in 2026?
Damien McDonald: Yes. Thanks, Vik. So actually, we're excited about starting the rollout of this at AAOS next week. And you think about it in phases, rolling out domestically in 1H, rolling out internationally in 2H. There's -- as we said in the script, there's a model flexibility here. So it's not just going to be straight capital sales. What we're really looking to do is drive implant utilization. So there's not a line of capital sales that we're really targeting. It's a flexible model. We know that one of the key advantages of the product is that it's mobile, it's capital efficient. And so we want to make it as easy as possible for people to use more of our implants. So watch this space. I think we're seeing you next week at AAOS, and the team, we're excited about showcasing this.
Operator: The next question comes from Jeff Johnson from Baird.
Jeffrey Johnson: Maybe almost staying on the same focal points there, the 2 same focal points. U.S. hip and knee business, you guys have a nice slide in your deck this quarter that shows kind of all the adjustments on selling days and some of the Arvis headwinds. You were very consistently in that 5% to 7% range on U.S. hip and knees if we make those adjustments every quarter of '25. Is that roughly the area you're thinking this year? And would there be any opportunity for Arvis to push that a little above that? Or would you expect that multi-pronged Arvis strategy to fit more with some placements and maybe implant commitments?
Damien McDonald: Yes. I'm excited about what I think we can do here. Firstly, the hip and knee expansion, we talked about this with the Nebula and OrthoDrive. Hip is exciting for us. And I think we've said before, 50% of our knee surgeons don't use our hip. So having that portfolio gap filled, I think, is important just for our existing customers. And as I mentioned, 60% of our placements were conversions from competitive hip users. So I think hip of itself has some runway. And then with Arvis, we're expecting the knee focus and then ultimately, the shoulder focus to really lift that whole -- that whole U.S. group.
Jeffrey Johnson: And maybe one follow-up, Ben, just on the cash flow question. You did talk in prepared remarks around 510(k) numbers where filings were up quite a bit in 2025. Obviously, this multi-pronged Arvis could cost maybe some cash upfront depending, I guess, on how placements look versus actual outright sales. And Ben, as you take that 25% free cash flow conversion to 70% to 80% over time, are we still set up where we should iteratively over the next few years, continue to see improvements? Or do we hit kind of a ceiling for a couple of years as you work through a couple of these heavy launch years and the initial Arvis strategy?
Phillip Berry: Yes. Thanks for the question, Jeff. We see it as continuing to drive incremental improvements in our conversion over the next several years. So we would expect it to continue to accelerate as we get closer to that 70% to 80% goal. Now it's going to take us a couple of years to get there. But overall, I think you'll see us continue to take steps towards that direction year-over-year. Like I said in my prepared remarks is that we still have one more, I'd say, substantial year of investment to integrate Lima, especially as we continue to finish a lot of the executed projects that we had identified across the supply chain to make our supply chain more efficient on the Recon international side. So we'll see continued improvements on free cash flow conversion, and we'll be able to absorb all of those impacts that you described with regards to Arvis and some of the investments that we need to make. One of the great things about Arvis is its very capital light. So one of the opportunities for us is to really be aggressive with this to drive penetration.
Operator: The next question comes from Vijay Kumar from Evercore ISI.
Vijay Kumar: Congrats on a nice execution on the margins here. Damien, maybe my first question is, was there any cadence issues in the Q4 and any impacts on utilization in -- when you think about Q1, you did mention days impact. I know weather has been a topic. So I'm curious on how we're thinking about Q1 kind of issues impacting organic.
Damien McDonald: I'll take a bit of this, and then you can jump on in, Ben. By the way, good morning. Thanks, Vijay, for being on. So Q4, look, there was no underlying change in markets. We performed seasonably lower than our historical data. And if you look at the range shift that we announced back in January, it was basically 1 trading day impact. And the impact was segment, geography and product agnostic. So we didn't see any change in the dynamics at all. It was entirely related to just the way the days fell as we finished the year. Do you want to talk about?
Phillip Berry: Yes, Q1 in 2026, Vijay has 2 less days. Q2 has 1 more day and Q4 has 1 more day. So no selling day impacts for us for the full year, but there will be a little bit of a softer impact given the 2 less days in Q1 and the super high comp that we have from 2025. Yes, we, like everyone else, are experiencing some of the weather dynamics that are happening that are putting elective procedures on hold. We think most of that gets recovered in the quarter. And overall, what we've seen so far in terms of the business performance is in line with our expectations. So overall, we think it's going to be another solid year for market performance. And I laid out the day's impact for you there as well.
Vijay Kumar: And then maybe, Ben, one on the margins. Gross margins came in nicely in Q4, beat Street estimates. Was this just a mix impact? Or can you talk about sustainability? Do you expect gross margins to expand in fiscal '26?
Phillip Berry: Absolutely, Vijay. I think from our perspective; this is really starting to read through a lot of the shaping moves that we've been making as a company over the last several years because the things that Damien mentioned with regards to P&R growth where about half of our portfolio is now mid-single-digit growth. A lot of that comes with products that carry higher than fleet average gross margins in the P&R segment. We're several years into embedding our EGX business system now in the P&R side of the business. You're seeing productivity start to read through. I also mentioned in my prepared remarks that we got synergy capture from Lima that we still see opportunities to drive margin improvements on the Recon side through further activities there. And the mix of extremities growing faster than hip and knee as well as it carried higher gross margins. So the business is really set up to drive positive mix, but that doesn't mean that we won't also be driving productivity and other opportunities to drive gross margins higher over time. That's part of our formula to get to the margin expansion that we lay out from an expectation standpoint every year. So overall, yes, we expect gross margins to go higher, and there's a lot of tailwinds that are supporting that while we're having some headwinds like tariffs that we're having to absorb.
Operator: The next question comes from Robbie Marcus from JPMorgan.
Robert Marcus: Two for me. First, can I follow up on the fourth quarter comments, and I just want to flush this out a little bit. You say that it boiled down to the miss essentially 1 selling day. We didn't see that happen to any of the other orthopedics peers. So do you think it was simply a selling day misforecast on your end versus what you thought you could do? Or was it due to some products coming in below expectations and that in the end amounted to 1 fewer selling day?
Damien McDonald: Yes. Look, it's really simple. We just didn't execute. We missed it by a day as the way the days were falling with where Christmas was. Look, all of that is -- we just didn't execute. And we've got work to do there. I'm new into the gig, and we're working on our disciplined execution. And the first thing I've talked about is commercial execution. And so that's why I say it was segment, geography and product diagnostic. We've just got to get a bit better in how we execute.
Robert Marcus: Great. So maybe on that, 2025 ended up at the low end of the initial guidance range. As you set the guidance range for 2026, how are you thinking about the conservatism of this guide? And what are some of the puts and takes that get you to the high end and the low end?
Damien McDonald: Well, look, there's a -- pretty dynamic environment. So we've tried to be conservative in our guidance. I mean we know there's a lot of moving parts for everyone. So our approach has been to be conservative. But to the upside, again, we'll point to where we're going with hips and what we're doing with the Nebula opportunity. We're very early in that release. The shoulder compatibility, we now have an implant system that's got basically 3 very great systems, the Prima, the SMR, AltiVate are all completely compatible, and we've only just started that rollout across our shoulder surgeon base. And towards the end of this year, the OUS hip, the Optimus Stem and the RM Cup, we'll be bringing that to the U.S. and that's a great product portfolio given that it's got phenomenal 10-year data. So on the Recon side, we think we've got a lot of runway. On the P&R side, there's reimbursement tailwinds on cold therapy and OA that we're liking. We're really excited about what the team is doing with Manafuse for BoneStim. So again, to the upside. To the downside, we all watch the socials and let's see what happens. But we're doing what we can do to and the things we can control, which is to drive the upside. And as I said, focus on commercial execution.
Operator: The next question comes from Danielle Antalffy from UBS.
Danielle Antalffy: Damien, I wanted to ask a high-level question of you that has, to some extent, to do with capital deployment. But -- you're now almost a year into this. At a high level, as you take a look at the portfolio and where you sit today from a product breadth of portfolio perspective as well as your competitive positioning, where do you see the most need for whether it's improving execution, continuing to fill out product gaps? And how do you expect -- how do you plan to address that organically, inorganically, what have you? And then I did have one follow-up.
Damien McDonald: Sure. Well, look, again, on commercial execution, I think it's in each of the business units, we've got an opportunity to improve where we're going with commercial execution. Now it could be about how we target and segment. It could be about how we do account acquisition and account penetration, two of my favorite metrics to track. And it could be just how we think about positioning and the way we go about putting the various new products into the market and being very specific about our messaging. So there's a lot of opportunity across the board. And each business unit, as we're working into the new year and doing our reviews, we're very focused on that commercial execution. The NPI, the new product introductions are really looking good for us, and we talked about the 510(k)s last year. We've got a really rich pipeline that we're excited about with this cadence of new product launch. A lot of the way I see the orthopedics market is you don't have to do home runs. You have to be good at singles and doubles, and we are working hard to get the cadence and the prioritization of those singles and doubles so that when you walk into a clinician and they say, "hey, what's new," we can talk about that. And I'm very excited about that. Now are we looking for things that tuck in? Yes. But as we've said very emphatically, our capital allocation priority is to reduce debt. So it will be unlikely we do anything unless it's a generational opportunity. And like if we miss it, it will pass us by. But our focus is for capital allocation is debt reduction. And we like the way we can fill in the portfolio with our organic pipeline.
Danielle Antalffy: Okay. Got you. And then P&R, you mentioned 50% of the portfolio. I think you said growing mid to-high single-digits. How sustainable is that? And should we -- because I think of this business more as sort of low to mid-single-digit growth so that's faster than what I was thinking. And can more of the portfolio get there? Or how are you thinking about that?
Damien McDonald: Yes. Look, I think we've used the word shaping the portfolio. And I think this is where we're going to continue to work not only on product rationalization and SKU rationalization to keep moving up the gross margin curve. But the growth here is important. And now, as we said, 50% of the portfolio is mid-single digit or greater. There's a lot of opportunity for us to continue that. And it comes with our geographic expansion. We have a new leader in Europe who is really bringing a lot of thoughtful and exciting new ways of thinking about the markets. So I like our chances here just in the base portfolio. And as we said, we've launched some recent new things like Manafuse and BoneStim, which is growing very nicely double-digit, and I think has a lot of runway.
Phillip Berry: Yes. I would just jump in there, Danielle. I mean it's one of the critical aspects as we think about continuing to construct a portfolio that can get to consistent high single-digit growth capability. The more P&R is growing, the more it helps us to get to that equation given that the Recon business is already growing high single-digits plus. So overall, we've built the portfolio with that in mind to get to high single-digit consistent growth opportunity and continue to shape the organization towards that end.
Operator: The next question comes from Mike Matson from Needham.
Joseph Conway: This is Joseph on for Mike. Just a couple of product-related questions. I guess, BoneStim, and the laser product, I believe both at least you called out growing at double-digits. I'm just wondering how that growth compares to the market growth rate for those 2 products, respectively.
Damien McDonald: Yes. Thanks, Joseph, for the question. We think we're slightly ahead of market in both categories there. With the introduction of Manafuse on the bone growth side, we have a more comprehensive portfolio to really address market opportunities, but this market also has a great opportunity in terms of penetration as well. So overall, we're excited about the future of that portfolio. LiteCure has been a good story from us. We acquired this back in 2022, I believe, or maybe even before that, and it continues to be a really strong performer for us. And we still see lots of opportunity there, not only from the current product line, but as we continue to refresh it with innovation as well, we'll continue to see higher growth rates than the fleet average driven by that product line.
Joseph Conway: Okay. Great. And then maybe just on the Optimus launch, how are you guys looking at that in terms of hip growth? Does this kind of keep Enovis at that above-market growth rate? I think around double the market growth rate; I think you called out. Is this an acceleration opportunity? Yes, just wondering how you're thinking about that launch at the end of the year.
Kyle Rose: Joe, this is Kyle. Yes, look, we've got a long runway with Nebula. Last year was the first year where we put Nebula and OrthoDrive into the market. So we've got significant plans to continue pushing there. From a longer-term perspective, at the end of this year, we'll bring the first component of Optimus and the RM Cup to the United States market. So it's more of just highlighting the strength in the longer-term pipeline we have. So a lot to be excited about on the hip side.
Operator: The next question comes from Keith Hinton from Freedom Capital Markets.
Keith Hinton: So I have 2 questions. One is kind of high-level strategic and the next one is more financial. So starting with the strategic question. With regards to the One Enovis initiative, can you just talk about how you're planning to exploit synergies between the two segments between Recon and P&R, both on the revenue side and the cost side, and if you want to differentiate U.S. versus OUS as well?
Damien McDonald: Yes, thanks. I really appreciate the question. One of the things that I noticed very early as I joined the group was the 7 business units, which is a valid operating model, didn't share a lot of information, and we didn't optimize how we were investing in either commercial execution or new product development. So one of the things that I think is really important is taking a view across the entire entity. That's the first thing. So how do we optimize where we invest. That's the first part of One Enovis. The second part is how do we collaborate and that's in the field as well. The fact is we've got a number of distributor partners in the U.S. who have great relationships on the P&R side, and we don't share a lot of that information across the group. So one of the things we're working much more on is how do the various commercial organization components talk to each other and share contacts and so that's on the commercial execution. On the operating excellence, there's a lot of work we can do to simplify the organization and how processes run in finance, in HR, in procurement, direct or indirect. So we're really looking right through the P&L at how we can do it. A classic example and something that we had started the journey on was shared services. We had a shared service group in Portugal that was working predominantly in P&R. Putting more effort into using that for the Recon Group internationally is important. We had an outsourced shared service with a provider in India that worked on our revenue cycle management. We're insourcing that, which, by the way, brings a lot of savings, but then we can make productivity improvements in that with AI to get to really driving our RCM processes better. So we're excited about this One Enovis mindset, and we've been campaigning this, firstly, with the key leadership starting in Q4 and now more broadly as we head into Q1 with the organization.
Keith Hinton: And then on the financial side of things, so the 50 bps margin improvement this year, and you've kind of guided to 50 bps going forward, obviously, sort of 4 ways to get there. You could improve P&R margins, improve Recon margins, the mix shift towards Recon and then just leveraging corporate costs. So in those kind of buckets, can you help us think about where the 50 bps mostly comes from in 2026 and then going forward, where the 50 bps can come from in '27 and beyond?
Phillip Berry: Yes. Thanks for the question, Keith. We continue to focus on really all of those aspects to be clear. But right now, I'd say the focus is really to continue to drive improvements in gross margins that can help fuel some of the investments required on R&D as we continue to tick up in terms of investments to support future innovation and growth of the business there. Damien just outlined several ideas and executed projects that we continue to advance around driving leverage of the cost structure of the enterprise. So that can happen in both business segments and in the SG&A line of the business. So we see opportunities across the board. The near-term focus is to continue to drive the positive mix and gross margin productivity projects that we have in flight as well as getting the synergies out of Lima that we expect. That will help us as we continue to work these other projects that can help us drive improvements in the overall cost structure.
Operator: [Operator Instructions] The next question comes from Caitlin Roberts from Canaccord Genuity.
Caitlin Cronin: Maybe just focusing on extremities. With the foot and ankle business, where did you end the year? And how are you thinking about the foot and ankle market as we go into 2026?
Damien McDonald: Yes. That was a really fascinating year to watch with that foot and ankle. And we've talked about this before. The front end, what we're seeing with clinicians in terms of their bookings and consultations really remained pretty strong. At the back end, we really saw a softness in the market. Now we believe -- again, there's not a lot of market data, but we believe we're significantly outgrowing the market and the competitors in this space. And I think it's because we've got a balanced portfolio that's not just about the bunion market. And that really carried us through with the DynaNail, for example. So extremities for us is a point of real focus for the Recon team. We believe there's a long runway. I'm convinced we've got great clinician partners. I think we've got a great focus and pulse on the whole portfolio. The market for us is something that we're very much watching, particularly on the elective side. But we, as I said, outgrew the market pretty significantly.
Caitlin Cronin: Understood. And then just for extremities more broadly, I think you pointed to a multiyear pipeline earlier in the call. Any more color on these opportunities?
Damien McDonald: Yes, we really haven't talked about that publicly. As the year progresses, I'm going to be more explicit about those things. You'll see some of it at AAOS. You'll see it at the specific shoulder events. But our focus really here is the fact that we've got a 3 system compatibility now, and we really want to make sure that we're getting to basically every procedure that's valid being a target for us. We've also got an opportunity to expand more into the sports medicine side of the arthroplasty application. Most of our customers are fellowship trained. So we're more on one side of the family than the other. And I think we've got opportunity to expand our go-to-market there.
Operator: We have a follow-up question from Keith Hinton.
Keith Hinton: Yes. I just wanted to ask strategically on the P&R side. So you said 50% is growing mid-single digit or better, but you're obviously guiding low single-digits. So that implies that on average, the rest is kind of flat-to-down. So how do you think about the process of shaping the portfolio going forward? Do you expect more divestitures to the slower-growing products have good margins? And then how do you think about that from a perspective of just making sure that the portfolio remains of a size where it's continuing to generate the cash that you need to invest in the Recon?
Damien McDonald: So I would put this into buckets of activity. One is commercial execution. As we've said, we just have to get better across the portfolio and across the entire sales organization at executing. That's one. Two, we've got geographic expansion opportunities that I think are important that we can exploit that we just have to again get better at, but we've got, I think, some good runway there. Three, I think we should continue to look at shaping the portfolio. There's SKU rationalization, portfolio rationalization to move up the growth profile and the gross margin profile. And then four is to look at the portfolio in its entirety and what are the components of that. And you saw we made the move on Dr. Comfort. I think that's a relevant conversation that we're having with the team.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Kyle Rose for closing remarks.
Kyle Rose: Thanks for joining us today. I'm going to hand it over to Damien for some closing remarks.
Damien McDonald: Well, thanks, everyone, for joining. As I wrap up, I'd first like to thank all our employees for the ongoing commitment, focus and dedication to improving our patients' lives. After 9 months in the role, I am more excited about the opportunities and the strength that we have in the Enovis team. 2025 was an important year for Enovis. P&R growth accelerated to nearly 4%, 2x the market. Recon outgrew the global market at 8%. We strengthened our portfolio with key new product launches, improved our operating discipline and returned to positive free cash flow. Just as importantly, we made meaningful progress transitioning from a period of portfolio construction to a period of focused execution. As we enter 2026, our priorities are clear. We'll continue to drive commercial execution, expand margins through mix and productivity, step meaningfully up the cash flow curve. We believe our innovation cadence, differentiated portfolio and disciplined capital allocation position us well for durable, profitable growth. So we appreciate your continued interest and look forward to updating you on our progress throughout the year. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.